Operator: Welcome to the Fourth Quarter and Fiscal Year 2021 Stanley Black & Decker, Inc. Earnings Conference Call. My name is Shannon and I will be your operator for today's call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Vice President of Investor Relations, Dennis Lange. Mr. Lange, you may begin.
Dennis Lange: Thank you, Shannon. Good morning everyone and thanks for joining us for Stanley Black & Decker's 2021 fourth quarter and full year conference call. On the call, in addition to myself, is Jim Loree, CEO; Don Allen, President and CFO. And our earnings release, which was issued earlier this morning and the supplemental presentation, which we'll refer to during the call are available on the IR section of our website. A replay of this morning's call will also be available beginning at 11 A.M. today. The replay number and the access code are in our press release. This morning, Jim and Don will review our 2021 fourth quarter and full year results and various other matters followed by a Q&A session. Consistent with prior calls, we are going to be sticking with just one question per caller. And as we normally do, we will be making some forward-looking statements during the call based on our current views. Such statements are based on assumptions of future events that may not prove to be accurate, and as such, they involve risk and uncertainty. It's therefore possible that the actual results may materially differ from any forward-looking statements that you may make today. We direct you to the cautionary statements in the 8-K that we filed with our press release and in our most recent 34 Act filing. I'll now turn the call over to our CEO, Jim Loree.
Jim Loree: Good morning and thank you, Dennis. As you saw from our press release, we delivered a record year in ’21 for revenue, organic growth, and EPS. We benefited from extraordinarily strong customer demand, which continues for our innovative products and portfolio of brands, both of which underpin and support our position as the world's number one tool company. I want to thank our colleagues across the globe for their unwavering commitment to serve our customers with the highest quality products as well as for their outstanding effort in helping to deliver this record-setting performance amidst the confluence of COVID era challenges related to supply chain inflation, other external factors. And during the year, we took several significant strategic actions to optimize our business portfolio, completing two outdoor power equipment acquisitions, adding $3 billion of revenue as well as the announced divestiture of our Electronic Security business for 16 times EBITDA, sharpening our focus on tools, outdoor, and industrial. These transactions are reshaping our portfolio into a faster growing, more profitable one with lots of runway to both support and benefit from the ESG movement as well. This portfolio will also benefit from important societal trends, including household formation, increased consumer nesting with focus on the home and garden, electrification, and infrastructure investment. In addition, this month, we plan to begin the return of $4 billion of capital to our shareholders through our previously announced share repurchase program, including as much as $2 billion to $2.5 billion in the first quarter of 2022. We believe these transactions, the acquisitions, the divestiture, and our substantial repurchase will result in significant value creation for investors in the short, medium, and long-term. To summarize our 2021 performance, our revenues were $15.6 billion, up 20%, driven by a record 17% organic growth, with all businesses contributing. Our total company operating margin rate for the year was 13.9%, down versus prior year due to the growing cost inflation and supply chain challenges that emerged as the year progressed, as we chose to take the necessary steps to deliver for our customers. We see this core margin rate as a temporary trough, given that we expect our continued 2021, 2022 pricing actions will be sufficient to fully offset the $1.4 billion of cost growth associated with inflation and increased cost to serve during the same two-year time period. Full year 2021 adjusted EPS was $10.48, a 30% increase versus 2020. And for the year ahead, we have a proactive plan and approach that is focused on execution, growth, margin improvement and strong cash flow. Our teams are focused on leveraging our operating model and execution principles that have allowed us to deliver consistent, strong revenue and EPS growth over many years, including in 2021. Although, we were pleased with the total year revenue and EPS performance, the fourth quarter was challenging, with supply chain and inflationary impacts, which impacted working capital. We strategically prioritized building additional inventory in 2021 to capture the strong demand. And in addition, we experienced the impacts from the clogged supply chain, which intensified as the year progressed as component shortages, shipping delays and inflation drove inventory levels even higher. Accordingly, free cash flow for the year was $144 million, which reflects a $1.8 billion increase in inventory. Suffice it to say this working capital increase was higher than anticipated, unnecessary but partially temporary investment which will reverse by at least $500 million this year, converting working capital back to a cash generator during the year. Our team has a long history of driving working capital turns improvement and asset efficiency with our SBD operating model. We have comprehensive enterprise-wide plans in place to ensure we serve our customers while also delivering strong cash flow in 2022 and beyond. Looking specifically at the fourth quarter. Revenue was up 2% to $4.1 billion with 5 points of price, 6 points from acquisitions. Volume was down 8% due to promotional shipment timing in 2020 and was impacted by logistical supply chain challenges as well. Overall, we remain confident in our multi-year growth and margin expansion plans. There are several positive secular demand trends that are benefiting our businesses. We remain bullish on construction, DIY as well as gradual recoveries in the automotive and aerospace OEM markets. We've developed an array of growth catalysts, including product innovation, e-commerce and electrification to position our businesses to capture this opportunity. And we are continuing to focus on innovation, manufacturing, automation, capacity expansion and our logistics capabilities to meet the elevated demand in the near-term and support strong sustainable growth over the medium and long-term. In this regard, we believe that we are well positioned in 2022 with a target of 7% to 8% organic growth; total revenue growth aggregating over $4 billion; adjusted EPS growth of 15% to 19%; and $2 billion of free cash flow. As noted, our tools and outdoor businesses enjoyed high demand levels across our global markets and channels. And as we think about some of the causal factors in North America, many of the traditional drivers of housing and repair/ remodel activity are trending in a positive direction. Household formation, driven by millennial first-time home purchasers as well as the urban exodus support strong housing demand and the low levels of existing housing inventory will continue to be a catalyst for new residential construction. Home prices have appreciated, building home equity, which generally supports home reinvestment growth through repair and remodel activity. In recent years, the consumer mindset and behavior patterns regarding home and garden have shifted as more time is spent in these environments. Homebase for many has grown in importance, serving multiple purposes, including as a sanctuary, as a locus for increased indoor, outdoor activities and as a workspace for more permanent remote and hybrid workers. These behavioral shifts are driving robust project activity for both contractors and DIYers not only in the US but globally as well. Leading indicators for non-resi construction, such as ABI and Dodge rebounded during much of 2021 and have remained positive as construction activity has continued to recover. Industrial production is returning to pre-pandemic levels as manufacturers look to replenish their supply chains. The growth momentum that we built in 2021 in our industrial fastener and attachment tools businesses is expected to continue in 2022, and we expect to benefit from the recently signed $1.2 trillion US infrastructure bill as well. And lastly, we are cautiously optimistic that the cyclical recovery in auto and aero will begin to emerge in 2022, a $300 million to $400 million multiyear revenue growth opportunity for industrial. And so while there is much to be excited about within our core markets, we will carefully watch for any impacts from a higher interest rate environment or changes in the elasticity of demand following price increases and react accordingly if things change. To keep our market and brand vitality fresh, we continue to invest selectively in growth catalysts, including innovation, e-commerce and electrification. These will position us for sustained share gains in the future. These catalysts capitalize on key global trends, many of which are expected to continue in the coming years. Across the board, we have competitive strategic differentiators that make us the world's leading tool company. Our iconic brands, DEWALT, Craftsman, Stanley, STANLEY FATMAX and BLACK+DECKER, our category depth channel development and operations excellence are coupled with a track record and commitment to market leading innovation. Our new power stack battery system launched in December is enjoying an excellent market reception and has the potential for several hundred million dollars of organic growth in 2022. Popular science called it, quote-unquote, “the best cordless power tool battery we've ever used.” With our sharpened focus and increased innovation investments, our product development plans are robust as we look to nearly double the number of professional power tool products we offer over the next three years. The rapid acceleration and the shift of demand to e-commerce has continued, and we believe that we have at least twice the revenue in this channel as our next closest competitor. In 2021, we continue to enjoy strong double-digit growth in e-commerce, and it now represents a $2.5 billion channel for us globally and it's approaching 20% of our tool business revenue. The increased societal focus on ESG and climate and what that means for electrification presents a very attractive multiyear opportunity for outdoor power equipment. Our existing business grew almost 40% in 2021 as we continue to drive the conversion of handheld units and push mowers to cordless electric. With the addition of MTD and Excel in late 2021, we have assembled a $4 billion outdoor power franchise, which will lead the conversion of larger equipment such as riders and zero turns to electric and autonomous as well. We have the ability to capitalize on the electrification of automotive as well through engineered fastening. This moves from internal combustion to plug-in hybrid and EV platforms ultimately results in a 3 to 6x increase in Stanley Black & Decker dollar content per vehicle produced by OEMs. We are also focused on the other growth and revenue synergy opportunities in outdoor, such as global channel expansion and brand development. We have a compelling opportunity to serve the professional customer segment by developing gas and electric offerings under the DEWALT brand, among others. We now have access to more than 2,500 independent equipment dealers across the US that carry leading-edge higher-margin products, which serve a professional user. This dealer channel opportunity is compelling as it is sized similarly to the retail channel, but comes with historically higher profitability. Finally, we have an opportunity in the $4 billion high-margin parts and service segment as we build our presence, serve our customers. I'm excited to share that we are updating our expectations for 2022 EPS contribution from these outdoor acquisitions. MTD had a strong finish in 2021 and was able to outperform our initial plan for both revenue and margin. They also remain on track with their margin improvement trajectory as they did a nice job in 2021, implementing price actions to counter inflation and are continuing to do that in 2022. With a higher '21 base and improved forward outlook, we now expect our outdoor acquisitions to contribute $0.85 of EPS in 2022. This represents a $0.20 improvement and a $0.60 year-over-year tailwind for EPS growth. As I sum up my section today, I am excited by the portfolio changes we affected in 2021. The establishment of a high potential outdoor platform, the Security business divestiture and a commitment to repurchase $4 billion in 2022 all set the stage for value creation this year and beyond.  With that, I will turn it over to Don Allan, who will provide some additional insights. Don?
Don Allan: Thank you, Jim, and good morning, everyone. As Jim mentioned, we are focused on serving robust demand and investing in our supply chain to position us for sustained growth. We took multiple actions in 2021 to navigate the global supply chain and position the business to have the capacity, sourcing, operational efficiency and resilience to serve our customers and deliver significant growth in revenue and cash flow in 2022 and beyond. These key investments include adding capacity consistent with our Make Where We Sell strategy, co-investing with strategic sourcing partners with a focus on batteries and semiconductors and investing in automation solutions to support productivity, labor efficiency and competitive costs. Our capacity additions are on track, and we have opened 2 new power tool plants and 1 new hand tool facility in North America, which are now ramping up. These new manufacturing plants will enable shorter lead times and be accompanied by parallel regional development of our supply chain base overtime, enhancing local sourcing and speed to market. As it relates to strategic sourcing, we have added new battery suppliers and made co-investments with key partners that have put us in a great position as we enter 2022. We have the necessary battery supply and capacity to support significant growth in tools and to fuel our electrification strategy in outdoor. The supply environment remains tight for semiconductors and electronic components. This plus the elongated global supply chain, which significantly increased inventory in transit, impacted our ability to generate more volume in the fourth quarter. Semiconductor shortages have been a pain point for many global industrials, and we have been investing to improve supply to enable significant tools growth. For example, adding new Tier 2 and 3 suppliers for chips, co-investing with Tier 1 suppliers to improve their capacity and taking actions to lower lead times across our supply base. As mentioned in October, we expect semiconductor supply to improve in Q2 versus current levels. Based on current commitments from our semiconductor suppliers, we expect a 20% to 30% increase in chips in Q2 versus the current run rate. In summary, we have been working to alleviate constraints on many key components and are now down to the last critical few, which will unlock more supply as we move into the second quarter. We are also advancing our Industry 4.0 capabilities, driving automation throughout our manufacturing environment. This will make our U.S. manufacturing plants more competitive, as well as improved productivity in factories across the globe. We just completed a significant flexible automation assembly line in our major U.S. power tool plant. It is up and running. Last year, we also made significant investments in inventory to help meet the outsized demand in the tools business. Excluding the consolidation impact from acquisitions, we increased our core inventory position by $1.8 billion as compared to year-end 2020. Two-thirds of this increase is composed of inputs, work in progress or goods in transit, that will work their way through our supply chain to support growth and improve fill rates with our customers. As a result, fourth quarter free cash flow was $175 million, which brings our year-to-date result to $144 million, significantly below our prior expectation for 2021. The main driver of the deviation was related to the congestion of the global supply chain on working capital. Let me unpack this to provide some additional color. First, we ended up building more inventory and tools versus our expectation. This was primarily related to a combination of goods in transit, expanding in the quarter as we experience port and other logistical delays. The increased tools inventory is needed to serve existing and projected demand, and therefore, we believe we will sell through this incremental inventory during 2022. Secondly, we are holding on to inventory longer than we have historically due to longer shipping and lead times, which has changed the relationship between inventory and payables. This dynamic also led to a deviation versus our October expectations. Finally, the MTD and Excel inventory build ahead of the outdoor season was not in our forecast back in October due to the unknown timing of each of those closings. The global supply chain is dynamic, as we all know, and requires new intensity, focus and agility to react to the changes as well as to be able to predict the dependencies that may be -- may not be consistent with past experiences. We have a long history of using the SBD operating model to drive high asset efficiency, strong cash flow and superior cash flow return on investment. These processes and tools, with some new enhancements, will ensure we mitigate the temporary portion of the inventory increase and the correlated impact to account payables. We will do this while holding the appropriate levels of inventory and making CapEx investments to support the strategic growth initiatives you heard about earlier. We expect to drive working capital efficiency in three primary areas which will increase supply chain predictability, optimize inventory location and improve inventory turns from acquired businesses. One, opportunities will definitely arise as the semiconductor pressure alleviates in Q2 and the electronic component supply improved. Two, we built a dedicated team focused on lowering in-transit inventory. This team will also focus on product SKU optimization of our days of stock, ensuring we have the right inventory when it's needed by our customers. And three, we are also deploying the SBD operating model across our recent acquisitions to drive efficiency in all aspects of working capital. MTD and Excel entered the portfolio around three turns, and we have line of sight to improving that metric across a multiyear period. This management team has dealt with headwinds and temporary shifts in business conditions for two decades plus. And therefore, we are confident that we will improve our turns and believe the cash flow working capital benefit is at least a $500 million opportunity, which is incorporated into our $2 billion cash flow commitment for 2022. In summary, our portfolio and supply chain actions from 2021 have put us in great shape for 2022 and beyond. I will now take a deeper dive into our business segment results for the fourth quarter. Tools & Storage delivered 3% revenue growth as the acquisitions of MTD and Excel contributed 7% and price delivered 5 points. These factors were partially offset by a decline of 8% in volume and 1% from currency. Regional organic growth was 7% in the emerging markets with weaker performances in North America and Europe due to, one, a tough comparable related to the prior year holiday shipping timing; two, the current year volume constraints caused by supply chain logistical challenge I previously mentioned; and three, the anticipated Q4 semiconductor shortages we discussed in October. Pricing actions delivered strong mid-single-digit growth in response to commodity inflation and higher cost to serve aligned with expectations. This was the most significant quarterly price benefit the Tools & Storage business has seen in modern history. The operating margin rate for the segment was 11.4%, down versus last year as pricing benefits were more than offset by inflation, higher supply chain costs, growth investments in volume. As a reminder, the fourth quarter of 2021 as well as the first quarter of 2022 is currently expected to be the peak of the inflation and supply chain cost headwinds, and then these headwinds will begin to recede versus the prior year. This expected trend in headwinds combined with the pricing actions we completed in 2021, the additional price actions to be completed and implemented in 2022 that I will touch on a little bit later in the call, and the cost controls that we recently put in place will result in profitability rates trending back to normalized levels as we move through 2022 for Tools & Storage. End-user demand strength remains persistent across all markets as the consumer reconnection with the home and garden, innovation, and e-commerce continue to drive growth. Our e-commerce platforms grew over 30% in 2021, the innovation pipeline continues to be impressive with new product launches across the portfolio. In addition to an exciting line of new product introductions in 2022, within the DEWALT, FLEXVOLT, ATOMIC and XTREME power tool platform, and also across the construction, automotive and industrial end markets. Point-of-sale demand in US retail grew high single digits and channel inventory ended below historical levels. We saw strong professional driven demand in the commercial and industrial channels, which grew in the fourth quarter and achieved 28% organic growth in the year. Now turning to the Tools & Storage SBU. Power Tools delivered 20% organic growth in 2021, which was supported by the new and innovative product launches across CRAFTSMAN, DEWALT and STANLEY FATMAX, inclusive of DEWALT POWER STACK, which is off to a fantastic start. Hand tools, accessories and storage achieved full year organic growth of 17%, inclusive of 26% international organic growth, fueled by robust market demand and new product highlights, including the Craftsman trade stack and DEWALT ToughSystem portable storage solutions as well as new additions to the DEWALT Elite Series circular saw blade. Moving to Outdoor Products. This business grew 3% organically in the quarter, while the addition of MTD and Excel added over $200 million of revenue. The outdoor team had a great 2021, achieving 40% organic growth, inclusive of share gain led by electrification. This came from new listings and innovations under the Black + Decker, Craftsman and DEWALT brand. Our acquisitions also had strong innovation-led organic growth for 2021 with new launches such as the redesign Hustler FastTrack zero-turn mower line for commercial use and the first semi-autonomous zero-turn mower with Cub Cadet Share path. We are beginning the journey to integrate our acquisitions into a new $4 billion revenue strategic business unit and are making great strides towards becoming one team focused on innovation, growth and capturing the cost and revenue synergies from these transactions. The collective efforts of our tools and outdoor teams across the globe were unrelenting as they continue to navigate this dynamic operating environment. I want to acknowledge and thank the entire team for your perseverance and dedication. Now shifting to Industrial. Quarterly segment revenue declined 7% versus last year, as the three points of price realization were more than offset by 9% volume and 1% currency. Operating margin was 9.3%, down versus last year as the benefits from price and productivity were more than offset by commodity inflation and market driven volume declines in the higher margin automotive and aerospace fastener businesses due to our customers primarily in those markets lowering their production. Looking further within the segment. Engineered Fastening organic revenues were down 9% as strong general industrial growth of 12% was more than offset by aerospace market pressure and lower automotive OEM production, which obviously resulted from the global semiconductor shortage. Our auto fastener business navigated customer production fluctuations and a dynamic market as they move through the year. Despite these external challenges, auto fasteners demonstrated nine points of outperformance versus light vehicle production and the business successfully doubled its revenue tied to electric vehicle production. The business is exceptionally well-positioned for the cyclical rebound in production and for the secular trend of electrification. Our industrial fastener business realized 12% organic growth in the quarter and exit the year with a healthy backlog, which is up nearly 50% versus 2020. It was satisfying to see the business achieve organic growth over 18% in 2021, two times the global industrial production index. While aerospace continued to decline significantly versus prior year, we have started to see green shoots, with revenues sequentially improving for two quarters in a row. This business is focused on capturing the coming rebound in production that will begin in 2022 and continue beyond that. Infrastructure organic revenues were up 3% as 18% growth in attachment tools was largely offset by lower pipeline project activity in oil and gas. Momentum continues to build in the attachment tools market, the strong demand from our OEM and independent dealer customers, generating orders that were up 59% versus the prior year and a backlog that is nearly five times year ending 2020 levels. To summarize our thoughts on Industrial, we saw some pockets of strong growth, combined with early stages of stabilization in the challenged markets I mentioned as we close 2021. And we are looking forward to leveraging the cyclical recovery and to capitalizing on the auto electrification trend over the next two to three years. Turning to the operating environment. We are actively engaged on multiple fronts to support margin recovery and believe headwinds have now stabilized. The 2022 carryover impact inclusive of currency is sized at nearly $800 million. From an input cost and transport rate perspective, we had assumed that the levels seen in the fourth quarter continue for all of 2022. This could be a second half opportunity if recent trends in commodity pricing hold. However, with the continuing dynamic environment, we are not counting on that, and we remain diligent on executing several actions to support margin recovery. We are taking more price actions in the first quarter to offset these headwinds. We are notifying our North American Tools & Outdoor customers this week about new price increases of 5% to 10% or more depending on the category. These actions are in addition to the five points of price already delivered, which underscores that the price environment today is very different from history. Our expectation is 100% coverage of inflation during this cycle. Our 2022 plan now calls for 6% to 7% price, which will be exceeding the carryover cost impact. These actions in aggregate will support sequential margin improvement in the coming quarters and year-over-year margin improvement in the back half of the year. In terms of when price cost turns positive, we still expect that to occur in the middle of the year, as close to 90% of the $800 million of headwinds are estimated to occur in the front half of 2022. Finally, as always, we continue to advance our margin resiliency initiatives and see a pathway to generate $100 million to $150 million of 2022 opportunity. Now before diving into guidance, there's one point that I would like to mention. As a reminder from our release, this guidance does not include the commercial electronic security and health care businesses, which are now recorded as discontinued operations as a result of the announced divestiture in December. Moving to our 2022 guidance on Slide 11. We are planning for total revenue growth in the mid-20s, inclusive of organic growth of 7% to 8% and adjusted earnings per share range of $12, up to $12.50 or increasing approximately 15% to 19% versus 2021. On a GAAP basis, we expect the earnings per share range to be $10.10, up to $10.70, inclusive of various one-time charges related to facility moves, deal and integration costs, cost reduction and functional transformation initiatives. The current estimate for pre-tax charges is approximately $380 million. From a segment perspective, total Tools & Storage organic growth is expected to be in high single-digits, supported by price, core and breakthrough innovation, continued strong demand across our end markets and the improvement of our customer inventories. The Industrial segment is expected to achieve high single-digit to low double-digit organic growth, driven by new products, pricing, momentum in industrial fasteners and attachment tools and the beginning of a cyclical recovery in auto and aerospace. As it relates to the acquisitions, we believe they will contribute just over $3 billion in revenue in 2022, primarily from MTD and Excel with about 60% of that revenue occurring in the front half. The team is building momentum, and this will be an acquisitive growth driver in 2022, but more importantly, an organic growth driver for years to come. For the full year, it's still our expectation that Tools & Storage will have a strong year-over-year margin expansion on the core, driven by strong second half improvement, as I discussed earlier. Total segment margin will be down as our outdoor acquisitions enter the portfolio with high single-digit profitability. Improving margins from the outdoor acquisition is a focus in 2022 and, of course, beyond. We expect to improve these margins to low double-digits in the one to two-year timeframe and mid-teens in the medium term. For Industrial, the margin rate is expected to expand year-over-year, leveraging strong revenue growth, productivity, and price. Shifting now to the right side of the page, I will outline the drivers of our year-over-year EPS growth at the midpoint. Our plan is to grow our core earnings base with added benefits from the MTD and Excel acquisitions. As we discussed earlier, we are actively addressing the inflationary environment with a 6% to 7% pricing -- set of pricing actions that should allow us to more than fully recover the carryover impact from inflation and the elevated cost to serve, adding $1.20 up to $1.30 of EPS. The carryover impact of our growth investments in SG&A is a headwind of about $0.20 net of our recent cost containment actions. Our outdoor acquisitions are already building momentum and should generate $0.60 of year-over-year benefit, ahead of our prior estimates. We also realized the $0.65 benefit from the 2022 impact of our $4 billion share repurchase program. This is partially offset by tax and other below the line items of $0.55. Our full year tax rate assumption is 10% and we are also planning for increased interest expense due to a higher rate environment and the financing needs of our strategic capital deployment. So, in summary, we expect the business to deliver nearly $1.80 of EPS growth this year to achieve a midpoint of $12.25 of EPS. Now, to cover what this means in terms of the first quarter, which is expected to be about approximately 13.5% of the full year adjusted EPS. We are planning for tools to have a relatively flat organic growth and industrial to decline in the low single-digits, reflecting the tough comp in the automotive business. Acquisitions should contribute about $950 million in revenue as the outdoor season kicks off. Price cost will still be a negative as we experience a significant amount of our full year headwinds in the first quarter. Total company margins should step up from the fourth quarter and in each successive quarter thereafter. We also intend to execute our $2 billion to $2.5 billion of our previously announced $4 billion share repurchase program here in the first quarter. As you think about the quarterly profile for 2022, consider the following factors; one, 90% of our $800 million headwinds occur in the first half of the year; two, the additional pricing actions I mentioned pays into the P&L during the first half; and three, the share repurchase begins to occur in the middle of the first quarter. Therefore, we expect 60% of our annual EPS to be delivered in the second half. For the full year, we expect robust free cash flow generation of $2 billion. This plan considers continued investment in our supply chain, inventory optimization to serve our customers as well as the drawdown of at least $500 million of our working capital, as we previously discussed. We are confident in the steps we have taken and are continuing to take to navigate a dynamic supply environment and optimize our factories. The organization is focused on driving above-market organic growth, delivering on our price and cost control measures, successfully integrating MTD and Excel into the portfolio and leveraging the SBD operating model to improve our working capital efficiency in 2022. We expect executing on these actions, as well as our $4 billion allocation to repurchase shares will deliver 15% to 19% adjusted earnings per share growth and a historic free cash flow performance in 2022. With that, I will now turn the call back over to Jim to conclude with a summary of our prepared remarks.
Jim Loree: Thanks, Don for that immersion into what was a very complicated or complex quarter with a lot of ins and outs in the portfolio and lots of dynamics in the end markets and so on. So thanks for taking the time and really giving a very transparent view there. And so as you've seen and heard, we are focused on continuing to serve the robust demand in our markets. Our multiyear runway for growth is compelling. We talked about adding $2.5 billion of growth in 2021 and then another $4-plus billion in 2022.  Our EPS and revenue set records in last year, and we expect more of the same this year. So, we're determined that free cash flow will return to record levels in 2022 as the working capital reverts back to a source of cash. And we're confident in our ability to execute in today's dynamic, volatile environment. Our proven track record of performance over many years supports this. Our 6-year revenue and EPS CAGRs, our 6% for revenue, 10% for EPS, respectively, and a new and improved portfolio and a great strategic setup for 2022 and beyond. We're focused on several tactical operational levers to ensure outstanding near-term execution. First, we're leveraging our price productivity and cost control measures to support a margin rebound throughout the year as Don described that. We're well positioned to achieve price covering the entire $1.4 billion of inflation and cost to serve for the 2-year period 2021, 2022. The unusual cost input increases have stabilized for now, and we are monitoring trends closely to ensure that we respond to trend changes as they develop. We're investing in the supply chain to ensure that we have the necessary capacity and supply to fulfill the strong demand and support significant revenue growth this year and beyond. We're off to a good start integrating the outdoor acquisitions, which are positioned to contribute EPS accretion of $0.85 in total, $0.65 year-over-year and $0.20 ahead of our initial expectations. We're driving working capital reductions, which we expect to translate to an impressive cash flow performance in 2022. And lastly, we're expecting to execute on our $4 billion share repurchase program very, very soon. So I'm confident in our collective ability to deliver another strong year in 2022 with outstanding potential for value creation. With that, Dennis, we are now ready for Q&A.
Dennis Lange: Great. Thanks, Jim. Shannon, we can now open the call to Q&A, please. Thank you.
Operator: [Operator Instructions] Our first question comes from Julian Mitchell with Barclays. Your line is open. 
Julian Mitchell: Hi good morning. A lot of good detail in the slides. Maybe 1 point I wanted to home in on was on the Tools volume side of things. I think it sounds like you're assuming that tools volumes organically at least down maybe mid-high single digit in Q1 after backing out price, so, not too different from the trend year-on-year in Q4. Just wanted to check that that's the case. And then maybe as you think about the balance of the year after Q1, there's clearly a lot going on with people trying to figure out the impact of interest rate increases, maybe we start to see some volume headwind from continuously rising prices. So how conservative do you think your tools volume guide is for the year? I think you're assuming volumes are maybe flattish or down a bit in tools for 2022 overall and down more than that in Q1?
Don Allan: Yeah. I think, Julian, that's a good assessment of where we think we are with the tools and outdoor businesses from a core perspective, obviously, on an organic basis. So we – for the year, we're probably looking at a relatively flat volume performance, with a very strong price performance of 6% to 7%, so they're probably leaning closer to 7%. The Q1 dynamic will be volume probably down 4 or 5 points in the first quarter, and then improvement of that kind of modestly as the year goes on. No real big significant volume expectation in any given quarter at this stage. However, we do see that as an interesting opportunity. I mean, there is a lot of uncertainty to your point about where demand may go, what may happen based on all these inflationary pressures and the prices going into the marketplace. So we think we're well positioned by taking the approach we're taking on the price side. But we also see an opportunity that, if demand is strong, we've adjusted our supply chain to be prepared for that and in particular by Q2 on the semiconductor side. And so if demand is there, we'll be able to really meet that demand and improve the fill rates of our customers as well as the inventory levels in the store.
Jim Loree: Yeah. The flattish volume is really more of a financial planning construct than it is in operational execution plan. So we are going for as much volume as makes sense and as much as double-digit volume in terms of what we're programming to try to achieve. However, given the uncertainty in the macro, given what remains to be seen in terms of price elasticity of demand for the products, we're trying to be financially conservative here so that, if any of the types of things that I described become factors that we still have a financial plan that makes a lot of sense.
Operator: Our next question comes from Jeff Sprague with Vertical Research. Your line is open.
Jeff Sprague: Thank you. Good morning. Maybe to pick up on that point, right? You delivered what you delivered in 2021 with the semiconductor situation as it was. So Jim, I think you're then implying that with what we heard today on the call about semiconductors, there actually is an opportunity to kind of uncork more volume. I just wonder, if that's kind of the linchpin of the whole kind of volume debate in 2022 and if there are any other particular really pinch points or bottlenecks that you need to work through?
Jim Loree: Yeah. Come April, I think we're going to be in a position to really open up that well. So it really is a couple of months of constrained production based on that. And then whatever we can get after that, we've got really good supply definitely enough to support double-digit organic growth beyond that. And of course, the other potential constraint, but it's not going to be an issue for us, would be battery cells, and we've got that one under control with investments that we've made in capacity with major battery suppliers. So, we have the capability come April to open the spigot for volume and produce whatever the market demands.
Operator: Our next question comes from Markus Mittermaier with UBS. Your line is open.
Markus Mittermaier: Yes, hi. Good morning. Maybe another one on pricing from my side, the 6% to 7%. Can you maybe elaborate a little bit on the various go-to-market channels you have? Has anything changed in your ability to price with the higher proportion of the online business, B2C or the addition of some of the other end markets that you're now going after? How has pricing changed to maybe what we know from the prior cycle?
Don Allan: Well, I think, Markus, the way to think about it is there is really no cycle in history that you can really compare this to. I mean maybe you could go back to the 1970s and the inflationary periods back then. But the world clearly was much different and e-commerce didn't even exist back in the 1970s. So, it's a very different timeframe. And so when you look at this situation where you're dealing with $1.4 billion of headwinds at Stanley Black & Decker, we put a significant amount of price in the market in 2021. We have not seen an impact to demand related to that in any of the channels that you referenced. We're putting more, as I mentioned, price increases in the market here in the first quarter of 2022, anywhere ranging from 5% to 10%, depending on the product family or category, in some cases, even higher than that if we see significant gaps versus our competitors or we see a situation where a particular product is being impacted more heavily by the commodity inflation headwinds. So, we'll watch this very closely. I mean it's why we're taking this approach on the volume side where we're not being overly aggressive in forecasting where the volume might go. But we're prepared, as Jim and I both mentioned, to really pursue higher volume. But we have to watch the pricing impact very closely and see the elasticity impact, but it's different. It's a different cycle. This is not the typical cycle where you're looking at maybe putting 3% to 4% price increase in the market to offset your inflationary pressures. You're talking about something that's more above 10% in many cases. And if you look at our peers and other players in both the building products and industrial space, you're seeing the magnitude of those types of increases across the Board. And we believe that's the right approach at this stage. However, we also have to maintain the flexibility and watch this very closely day-to-day and week-to-week and respond accordingly.
Jim Loree: There's an existence theorem for this type of environment, not so much the supply-constrained part of it, but the highly inflationary environment in some of the developing markets. So, for instance, Latin America, which often has massive inflation that comes quickly and often is currency-driven. But in those markets, our history of being able to recover price is excellent, our history of being able to stabilize margins at favorable rates is very good. And the continuation of organic growth and strong organic growth in those markets is something that we've been able to sustain for a long period of time. So if this is -- if this environment response is anything like what we've seen in some of those types of situations, the demand continues. So we don't know as Don said, it's uncharted territory. But we're ready for anything, as Don said.
Operator: Our next question comes from Josh Pokrzywinski with Morgan Stanley. Your line is open. 
Josh Pokrzywinski: Hey good morning, guys. So just a follow up on the price discussion. I think, Don, you mentioned maybe some potential upside from commodities as some of those roll off. How much of the price equation is really tied to something surcharge related where maybe you give some of that back, or I guess, maybe said differently, what are the surcharges tied to in terms of like price benchmarking? And then I guess sort of related, how would you rate your price capture POS relative to what you've seen out of peers? Do you think you're ahead, behind? Some aspect of the competitive environment would be helpful?
Don Allan: Yes, I think the surcharge component is probably a couple of points of price that we put in place in the fourth quarter. And it was really more heavily tied to the cost to serve aspect. And so, we had these -- as we all experienced this really intense wave of price increases in logistical space transportation in the summer of 2021 and going into the fall, and that surcharge is really in response to that. Those prices on container costs and other logistic costs have not really changed. They dipped down a little bit in the month of December, but then they pop back up to the previous levels in January. So I don't -- we don't really see any significant shifts in that particular area. And I think the supply chain could continue to be a little bit challenging from a cost perspective for a portion of this year. What I was referring to is more on certain commodities are shipping in the last month or 2, where you're seeing steel pull back a little bit and a couple of other commodities as well. Right now, that if those prices held, that could be a $50 million to $100 million opportunity for us later in the year. So that's kind of the sense of the magnitude. It's not a massive move at this stage. If it continued to improve, and obviously, that number could get better. So we're not seeing shifts that have us concerned about the pricing actions we've taken nor the pricing actions we plan to take here in the first quarter. But again, that will be something we closely monitor. And we also have to keep in mind that we – it takes a while to get price actions into many of our customers, and you saw that in 2021 play out. And so we're probably a 3 to 6 month lag versus what you might see in some industrial channels versus the building product channels that we're more heavily weighted to. And as a result, you're probably going to have an upside tail on the back end of this as things start to change. And so that's just something to keep in mind as you think about price, where if you compare it to an industrial peer who may have had priced much quicker in 2021 and price may move down sooner in 2022. The dynamic here will be different just because of what I laid out related to the lag and how it really plays out in the building product space.
Operator: Our next question comes from Nigel Coe with Wolfe Research. Your line is open.
Nigel Coe: Thanks. Good morning. You mentioned price elasticity now a couple of times. I'm just wondering if you've seen any signs of that. The POS is strong, but just wondering if you've seen any early signs of that. And it feels like you're prepared to trade lower volumes for higher price. I just want to make sure that's the case. But my real question is, could we just get a bit more definition on how we see the Tools & Storage margins playing out through the year sequentially? It seems like we're starting up at comparable levels to what we saw in 4Q how do we see that building up through the year? Thanks.
Jim Loree: I mean in a perfect world, Nigel, we would want to get our margins back to what they've been historically, and we would want to grow with the market and then in excess of the market, gaining share with our product development and our – all the other growth catalysts that we have. That's what we're aiming to do. Now I've said – I've mentioned price elasticity, because it's a reality of any pricing environment is such that at some point, there is a change in the consumer's willingness to purchase something at a given price, and there's a lot of different economic factors that consumers are dealing with right now. And so that's just an unknown. And it's not something that we're prepared – we're not necessarily prepared to trade volume. Let me put it this way, we're not necessarily prepared to trade market share for price. And we will continue to grow our market share. And so we just need to continue to monitor price elasticity, competitive dynamics, all those different things that one does when one manages in an environment like this.
Don Allan: And you mentioned margins and profitability and tools, Nigel. And so as you saw, we had 11.4% in the fourth quarter operating margin for the Tools & Outdoor segment. I think the first quarter will be kind of in that ballpark, maybe a little bit better than that number. Then you see a fairly substantial jump in Q2 and in the back half. We're getting pretty close to that 18% number, in particular in the fourth quarter. So it's going to be a gradual improvement in operating margin rates with a bit of a pretty sluggish start in the first quarter because of the fact, as I mentioned. The fourth quarter of 2021 and the first quarter of 2022 is really the peak periods for the headwinds. And so you're seeing pretty substantial headwinds in both those quarters, and then they start to recede going forward after that. So that's just something to keep in mind as you factor in your modeling.
Operator: Our next question comes from Mike Rehaut with JPMorgan. Your line is open.
Mike Rehaut: Thanks. Thanks for taking my question. Just to make sure – and apologies, if we're beating a dead horse here, but in terms of where you were on last quarter's earnings call, where you're expecting, I believe, mid-single-digit volume growth, and now for Tools & Storage, flattish. I just want to kind of break down the differences between then and now in terms of the expectations. How much is coming from maybe supply chain constraints, which I think you've said you expect to more fully address in the second quarter and going forward versus conservatism from the price increases and that impact on volume in terms of demand elasticity. Just trying to understand where the differences come from. And if there's any other elements that's driving that change in terms of the end market demand for instance. And then secondly, on the price – the price increases of 6% to 7% company-wide if that is – we could think about that kind of a similar impact in terms of against Tools & Outdoor and industrial if it's a similar type of allocation. Thanks.
Don Allan: Yes. So, Michael, I would say that as you think about what we said in October, obviously, we weren't providing guidance or just kind of giving a high-level framework. And -- but as we progress through the fourth quarter and began to finalize and create our guidance for the full year here in January, I guess, now February, we really recognize that there was a pursuing those actions here in the first quarter of 2022. 5% does not get us to where our margins should be, along the lines that Jim described and I described a few minutes ago. And so we really believe we need to take that approach, and that is the right approach. On the volume side, I would say that there's a little bit of the supply constraint dragging over into Q1 for sure. And so we had an expectation of a little bit better performance in Q1 back in October. But given the dynamics that played out during the -- especially November, December, we think the more prudent view of the approach we're taking with the Tools & Storage organic growth in Q1. And then your question on the 6% to 7%, was that more about, Dennis, more about the split between tools and outdoor? What was some?
Dennis Lange: Yes. So, both segments -- no, tools and industrial.
Don Allan: Tools & Industrial. 
Dennis Lange: Yes, I think it's actually when you look at both of those, they are both going after pretty aggressive price actions and there's not a big deviation between the two of them.
Operator: Our next question comes from Joe O’Dea with Wells Fargo. Your line is open.
Joe O’Dea: Hi, good morning. It seems like there's a big step up in earnings expected from one 1Q to 2Q and I'm assuming that that's related to the supply chain side of things and you've talked about April getting better, but I wonder if you can just expand on the visibility you have into that because I think you're putting a finer point on it than others in terms of the timing of some of the supply chain getting better. But just how secure that is at this point for the visibility it gives you?
Don Allan: Well, I think when you look at the dynamics of that kind of walk, you obviously have a volume improvement. That's pretty substantial for the reasons that you just touched on around supply chain and semiconductors. You'll see more price flowing through in the second quarter versus the first quarter because of the actions that we're now taking here in Q1. You'll get a bigger benefit in Q2. There's some cost containment actions we've touched on that you get a full quarter benefit of that in Q2 as well. So, -- and then, obviously, some of the headwinds start to level out and recede a little bit versus the prior years. So, all those things together are really driving that improvements from Q1 to Q2. What I would say volume and price being the larger components of those items.
Operator: This concludes the question-and-answer session. I would now like to turn the call back over to Dennis Lange for closing remarks.
Dennis Lange: Shannon, thanks. We'd like to thank everyone again for calling in this morning and for your participation on the call. Obviously, please contact me if you have any further questions. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. Everyone, have a wonderful day. You may now disconnect.